Operator: Greetings. Welcome to ChipMOS’ Second Quarter 2012 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, David Pasquale of Global IR Partners. Thank you, Mr. Pasquale. You may begin.
David Pasquale: Thank you, Operator. Welcome everyone to ChipMOS' second quarter 2012 results conference call. Joining us from the company today are Mr. S.J. Cheng, Chairman and Chief Executive Officer; and S.K. Chen, Chief Financial Officer. S.J. will review highlights from the quarter and then provide ChipMOS' business outlook. S.K. will then review the company's key financial results. We will then have time for any of your questions. If you have not received a copy of today's results release, please email Global IR Partners at imos@globalirpartners.com, or you can get a copy of the release off of ChipMOS’ website, www.chipmos.com. Before we begin today’s call, we must make a disclaimer regarding forward-looking statements. During this call, management may make forward-looking statements within the meaning of the Section 27A of the U.S. Securities Act of 1933, as amended, and the Section 21E of the U.S. Securities Exchange Act of 1934, as amended. These forward-looking statements involve known and unknown risks, uncertainties and other factors which may cause the actual performance, financial condition or results of operations of the company to be materially different from any future performance, financial condition or results of operations implied by such forward-looking statements. Further information regarding these risks, uncertainties and other factors is included in the company's most recent annual report on Form 20-F filed with the U.S. Securities and Exchange Commission, and in the company's other filings with the SEC. At this time, I would like to now turn the call over to Mr. S.J. Cheng. Please go ahead, sir.
S.J. Cheng: Yeah. Thank you, David. Welcome everyone to our second quarter 2012 conference call. Hopefully, you all had time to review our earnings release. This was another strong quarter for us. All metrics of the business show how healthy ChipMOS is. We achieved high growth in the right segment from the right customers. We feel confident in both our customer and the business segment earnings. Our effort to align ChipMOS with companies that are growing and taking market share in the LCD driver segment continue to pay off for us. Our focus on highest margin segment of our business led to revenue growth above 10% and more than covering our growth margin to nearly 13%. We continue to generate very healthy cash flow number. We remained focus on give out cost in check and CapEx an operating enable. Overall, we are very pleased with the quarter. Quarter two demonstrated the strength of our model and enables in our business, and while we are pleased with the quarter, we had not intended on letting up rather we are putting everyone across similar global organization to working harder, to sale more in order to achieve great success. Also we remain to further improve our financial performance that we work to try higher value for all our shareholders. In terms of specific results for the second quarter we achieved revenue growth of 10.2% in Q2 compared to Q1. Additionally, we further improved gross margin to 12.8% in Q2, up from 6.2% in Q1 2012. Revenue growth in Q2 was mainly driven by our memory business. Specifically, in DRAM and flash product, which increased 8.8% and 15.8% compared to Q1, respectively. We are also pleased with the revenue growth achieved in our mixed-signal and LCD driver business compared to Q1 which also showed robust growth of 9.8% and 8.4%, respectively. Our overall utilization rate acting by quarter improved to 78%, compared to 73% in Q1 2012. Let’s turn to our Q3 outlook. Based on exiting customer focus we currently expect revenue growth of about 4% to 8% for the third quarter 2012 as compared to the second quarter, with gross margin on consolidated basis further improved to above 12% to 18%. Based on our current plan we expect strength in our LCD driver business to continue as we move through 2012. The Gold Bumping business is expected to grow 15% in Q3 with expected growth of above 6% to 8% growth for both chip-on-film and chip-on-glass, assembly and testing business is forceable. Our DRAM and mixed-single business are both expected to be up in a low single digit, while our wafer testing business of fab product is expected to be slightly softer in Q3 compared to Q2. Before I turn the call over to S.K., I want to spend couple of minutes to discuss our recent dividend announcement and business development. Firstly, there had been a lot of market uptick regarding our major U.S. DRAM customer issues from LCD sales organization team. We had received many inquiries on how our customer decision can influence our further business strategy and we make some plan. We see that longer term this can be a potential positive for ChipMOS and industry, in short-term though it is too early to know how this will be settle out and what the impact if any would be on our business with a view of combination as a positive for LCDs, micro and industry. Secondary, we recently announced that company’s Board of Director has adopted a dividend policy. The dividend policy would permit the company to distribute an annual dividend to shareholders from retained earnings equal to 0.8% to 1.2% of the company's book value. Declaring dividends under the policy is subject to the company's assessment of its operating plans and market conditions at that time, and its ability to maintain compliance with all applicable regulatory and financial criteria, including passing a solvency and asset test, as required by the Companies Act 1981 of the Bermuda as amended. The Company presently passes the solvency and asset test. Certain actions required to elevate company and its ability and allow company’s Board to approve the declaration of the dividend under the policy will first be submitted for approval by our shareholders at the company's Annual General Meeting scheduling on August 31, 2012. Our Board and management view the dividend as both a demonstration of our confidence in the business and our continuous commitment to increase value for our shareholders. We hope the issuance of our first dividend will open up new investors to ChipMOS. Thus, we’ll only be able to invest in the company, thus have active dividend program, such broadened of our investor base will have a positive impact on company in the market. Finally, you may have already seen from the SEC website that we have made amendments through a risk section filing with SEC on August 16, 2012. Such amendment filing will be subject to SEC’s review before it is clearly effective. Revised disclosure and detail are available on the SEC website. We have no additional information at this stage to reveal, other than thus already filed with SEC. In summary, we are pleased with our quarterly performance, our continued progress in our business prospective. Let me now turn the call over to S.K. to review the second quarter financial results.
S.K. Chen: Thank you, S.J. All dollar amounts cited in our presentation are in U.S. dollars. We have provided both U.S. dollars and NT dollars in our press release. The following numbers are based on the exchange rate of NT$29.8 against US$1 as of June 29, 2012. As. S.J. has just reviewed our revenue and margins. I will provide details on the rest of our Q2 results. Net income for the second quarter of 2012 was $10.1 million and $0.37 per basic and $0.36 per diluted common share, compared to the net loss of $5.7 million and $0.21 per basic and per diluted common shares in the first quarter of 2012. Our operating expense in Q2 was $9.8 million and other operating income was $1.4 million. Non-operating income in Q2 was $0.4 million including foreign exchange gain of $2.1 million and net interest expense of $1.7 million. Income tax expense in Q2 was $1.9 million. On the segment basis, Q2’s revenue breakdown was 30% in testing, 34% in assembly, 22% for our LCD driver business and 14% in bumping. Total capacity utilization was approximately 78% for the second quarter, compared to 73% for the first quarter of 2012. The capacity utilizations under segment basis were 73% for testing, 82% for assembly and 75% for LCD driver IC and 85% for bumping. CapEx for Q2 was $34.4 million. This is in line with our prior comments that we would spend approximately 60% of our annual CapEx budget in the first half of the year in support of customer programs. The breakdown of CapEx for the second quarter was 16% for testing, 14% for assembly and 48% for LCD driver IC and 22% for bumping capacity. We are committed to keeping our CapEx budget within the provided $85 million to $95 million range, including our announced building purchase. As always, we are working to further increase a $3 million dilution level, further improve factory efficiencies and continue our cost reduction programs. We continued to [met] the need to have the right capacity online to support customers demand and expected program range. Depreciation and amortization expenses were $42.4 million or approximately 26.2% of revenue in the second quarter. Importantly, this is a reduction of $3.1 million from Q1. We expect a further reduction as we move through 2012. EBITDA for Q2 was $54.9 million or 33.9% of revenue. EBITDA was calculated as earnings before income taxes, foreign exchange gain or loss, net interest expenses, depreciation and amortization expenses and special charges. While EBITDA is not defined by generally accepted accounting principles, we believe it is a helpful way to measure our financial strength. Total cash and cash equivalents was $221.4 million as of the end of the quarter, compared to $251.9 million for the previous quarter. In Q2, we invested $33.6 million of our cash into the money market firm as a invest -- as a short-term investment. Our total short-term debt including current provisions of long-term debt was $69.2 million at the end of the second quarter, as compared to $59.9 million at the end of the first quarter. Long-term debt was $249.2 million at the end of the second quarter as compared to $248.2 million at the end of the first quarter. Our account receivable days of sales outstanding in Q2 was 70 days, as compared to 74 days in Q1. Inventory turns were 35 days in the second quarter, as compared to 35 days in the first quarter. Our interest expense was $2 million in the second quarter, as compared to $2.1 million in the first quarter. We generated $16 million of free cash flow in Q2, which was calculated by adding depreciation, amortization, interest income together with operating income and then subtracting CapEx, largely interest expense and cap expense from the firm. We remain strongly committed to meeting our financial goals, which include discipline CapEx spending and generating positive cash flow. Finally, given our business and balance sheet strength, the company's Board has authorized management in its discretion to determine whether to enter into a new share repurchase plan on behalf of the company, to replace the repurchase plan adopted in 2011. The authorization includes determining the maximum repurchase price per share and establish plan terms and conditions with a designated broker. A new plan has not been entered into as of the date of this release. The company will make a disclosure to the market at such time that a new plan is entered into. Operator, that concludes our formal remarks. We can now take questions.
Operator: Thank you. (Operator Instructions) Our first question is from the line of Richard Shannon of Craig-Hallum Capital Group. Please proceed with your question.
Richard Shannon - Craig-Hallum Capital Group: S.J. and S.K., hi. How are you?
S.J. Cheng: Very good. Hi.
S.K. Chen: Good morning, Richard.
Richard Shannon - Craig-Hallum Capital Group: Good morning or good evening for you. Thanks for taking my call and my questions. I guess, the first thing I’d like to ask is, S.J. or S.K., if you could repeat your commentary regarding your expectations on the third quarter from a revenue perspective? I think you mentioned some comments about LCD, gold bumping, et cetera. I didn’t catch all of those, if you could repeat those that would be great, please?
S.J. Cheng: Okay. For the Q3 -- for Q3, based on the current customer focus and business although ahead, we expected our gold bumping business will grow 15% in Q3 compared to Q2. And we have a two product of gold bumping, one is the chip-on-film, one is large kind of wires chip-on-glass better for smartphone and…
S.K. Chen: Tablet…
S.J. Cheng: PC application, which were you said this growth 6% for chip-on-film and 8% for chip-on-glass, in Q3 compared with the Q2.
Richard Shannon - Craig-Hallum Capital Group: Okay. Great. And then the second question also on the third quarter, the gross margins you gave a range of 12% to 18%, this is compared to your reported number on the second quarter of 12.8%.
S.J. Cheng: Yeah.
Richard Shannon - Craig-Hallum Capital Group: On the surface, that seems a little conservative given that expectations on depreciation coming down in some revenue growth, are there -- can you help us understand why it seems to be a little bit lower than maybe it should be. Are there pricing considerations or mixed shift or something that would suggest that it wouldn’t be higher?
S.J. Cheng: Yeah. Actually, [military] will likely give a more conservative number to the market and based on our July performance, I think our growth project in the chip in a higher area of our guidance.
Richard Shannon - Craig-Hallum Capital Group: Okay. But there are not -- there is a no difference and say pricing environment out there across your end markets?
S.J. Cheng: Clearly, we don’t have this kind of request from our customer say, yeah.
Richard Shannon - Craig-Hallum Capital Group: Okay. Fair enough. You talked early in the year about a sales growth goal for the year of 10%. When -- if you can give us any thoughts of a number that you’re thinking of right now and obviously that’s going to tell us a little bit about what you are thinking about the fourth quarter. But if you can give us any thoughts as to how you will approach that kind of target that you started the year would that be great to know?
S.J. Cheng: Yeah. Basically right now, the whole company and whole sales team, we still use 10% accordingly at our working target. And we try to like a -- is this our annual target for all organization to approach. And in Q3, we received the guidance very clearly. But Q4, right now, it’s too early to say, we feel demand on track and always try to push the highest growth prosper with our profitability requirements. And if the Q4 situation is getting worst or best is basically that we were further adjust our expectation. Right now it’s too early to say. So we feel put all the people working hard try to achieve this goal but he will be very tied to target.
Richard Shannon - Craig-Hallum Capital Group: Okay. And I guess probably the reason why I ask is that to even approach that 10% number you will need some fairly nice sequential revenue growth in the fourth quarter of the year, which is not your normal seasonality. Are you expecting to see fourth quarter at least grow, so you’re going to approaching that 10% number anyway that we can think about that?
S.J. Cheng: Richard, to answer your question, I agree with you remotely by -- like for the management, we still use this as 10% about (inaudible) in fact we’ll try everybody to working on that.
Richard Shannon - Craig-Hallum Capital Group: Okay. Fair enough. I will ask one more question and jump on the line. Relating to the buyback plan or I guess the authorization management to implement a plan, can you share what your general thoughts are about the buyback plan whether you are in favor of it some and also assuming that let’s say that you started a buy or you implemented a buyback plan today, one is that earliest that you can actually be in the market to implement that and buy shares?
S.J. Cheng: Okay. I will allow S.K. to answer your question.
S.K. Chen: Yeah. Somebody legalized more at the programs may potentially be beneficial not only for our shareholder but also for the company. The company’s Board has authorized management expecting to determine then it says whether to enter into a new share buyback programs or not. And reconsidering that we need to do -- we need to move ahead and adapt a new buyback program, but we -- the only thing to do, is that we need to set up this new buyback programs -- need to have this, new buyback program put in place in during the window period. So the earnings [time] will be next week for us.
Richard Shannon - Craig-Hallum Capital Group: Okay. Is that to -- next week to announce the plan, but isn’t there some number of days…
S.K. Chen: Yeah. We will make announcement that we enter into this new buyback program.
Richard Shannon - Craig-Hallum Capital Group: Okay. Great. That’s, I guess, all the questions from me at this point. I’ll jump out of line. Thank you.
S.K. Chen: Thank you.
S.J. Cheng: Thank you.
Operator: Thank you. Our next question is from the line of Brian Grad, DLS Capital Management. Please proceed with your question.
Brian Grad - DLS Capital Management: Hi, S.K. Hi, S.J. I just want to say that it has been excellent, excellent quarter. I was modeling a $0.31, which was probably more aggressive than most people out there and you beat that. So a way to go on that. I just want to clarify something and I was looking a little bit to the balance sheet here. I noticed two things, one that your actual short-term and long-term debt both kicked up slightly in the quarter, so if you could give me an explanation what happened there? And also if I heard you right, your reporting cash and equivalents at $221 million and then I see a financial asset.
S.K. Chen: $33.6 million.
Brian Grad - DLS Capital Management: $33.6 million, which you said was I think you said. Certificated deposit or something like that so wouldn’t that be a profit. So, wouldn’t that be considered a cash and cash equivalent?
S.K. Chen: Yeah.
Brian Grad - DLS Capital Management: Okay. So why would it be -- why is it not reported as a cash and cash equivalent then?
S.K. Chen: No. It is a security. But we can retain the forms anytime that we wanted. So, it’s a kind of that short-term investments for the company, that we can get a higher interest rate from this investment.
Brian Grad - DLS Capital Management: So, cash is really $255 million there.
S.K. Chen: Yeah. Correct.
Brian Grad - DLS Capital Management: Okay. Okay. I just want to clarify that.
S.K. Chen: And the bank loans, why our debt increased a little bit, that’s because that we prepare a credit line for ChipMOS Shanghai and for ThaiLin. So, when we have the credit lines available to us, we need to have a small amount of short-term of the credit line. And that we prepared credit line because of that we consider that -- we thought that we need to put that some capacity for these two companies. And we also prepared a company some short-term credit line just in advance just because that we will starting to pay back our long-term debt from second half of this year. And so we prepared a little bit more resources -- financial resources from company, so right now it’s a confusing period. So but debt seems stable, it increased a little bit, but you will continue to see total debt to decrease in second half of the year.
Brian Grad - DLS Capital Management: Okay. That’s fine. And in terms of I know that the dividend issue is out there to be paid. I am assuming that with as soon as the general meeting takes place on the 30th, and the approval for -- I think its what the excess capital has to be rolled into capital surplus or something like that and ready to collapse that down and then the dividend will be declare shortly thereafter?
S.K. Chen: I would say we will -- we need to -- I think the first step, we need to eliminate the return of similar loans our balance sheet. And before we can clear dividend through our shareholder, so after that then the company will -- can get qualification to assess whether or not that we will declare dividend.
Brian Grad - DLS Capital Management: Okay. Okay. And last question. On this registration statement, I mean since -- it doesn’t seem like a lot has changed other than eliminating the names of the sellers from the document. And my assumption is that stock is still out there to sell at some point, any thoughts on how that they are going to get that marked up?
S.K. Chen: We don’t want to comment too much on bid. But I would like to give more color for you as that they are trying to set cost and the timing for the management otherwise. We need to amend and -- amend our restriction and keep this restriction effective for our shares and shareholders since that we have no schedules being confirmed for this profit market or for -- and public offering. So we just get approval for our shareholders, semi-shareholders.
Brian Grad - DLS Capital Management: Okay. So there is no decision that’s been made on the Taiwan shares?
S.J. Cheng: No.
Brian Grad - DLS Capital Management: Okay. Very good. Thanks a lot. Great quarter, guys.
S.J. Cheng: Thank you.
S.K. Chen: Thank you.
Operator: (Operator Instructions) Your next question is from the line of Scott Bishins with Caffeine Holdings. Please proceed with your questions.
Scott Bishins - Caffeine Holdings: Yeah. Hi S.J., S.K.? Awesome quarter. Certainly a lot better than what I modeled. It was in there, probably between $0.25 and $0.32. Just couple of questions, may be you could give us some estimates on the depreciation for the third and fourth quarter. I actually had in the second quarter. I thought it was going to drop down to about $40 million but as I heard, it’s about $42 million, which only makes the gross margin so much better what you achieved in the second quarter. So may be you give us some numbers on the fourth quarter?
S.K. Chen: In third quarter, the depreciations totaled to around $37 million, $38 million and go down further through around $34 million and $35 million in Q4. That’s our best estimation.
Scott Bishins - Caffeine Holdings: Okay. Also as far as the CapEx, you said you spent about, I guess, about $55 million. So far, it was about another $30 million to $40 million to go. Do you expect that would be in the mid range, low range or sort of at that top of the range?
S.K. Chen: We top it to $92 million to $94 million since that purchase of the new building is -- actually it’s not in our original planning.
Scott Bishins - Caffeine Holdings: Okay. Where do you think we would be for the last two quarters?
Scott Bishins - Caffeine Holdings: I’m sorry. Say that again.
S.K. Chen: Yeah. We will be on the top of the range.
Scott Bishins - Caffeine Holdings: Top of the range. Okay. So you’re expecting that about another $40 million in CapEx during next two quarters.
S.K. Chen: Yeah.
Scott Bishins - Caffeine Holdings: Okay. Couple of things also about the Taiwan listing, we just -- is there any update, may be that you could give us and we know that there were couple of options that you were thinking about, one was either during a listing of Taiwan by itself in emerging ChipMOS Taiwan and ChipMOS Bermuda into it. The other one was maybe going at alone during a IPO or a listing on the Taiwan machines with ChipMOS Taiwan and then eventually emerging the other entities or the other option I believe you mentioned to the last call was the possibility that maybe somebody might come along that we could merge with -- that would be legal. Anything further that you could report on that?
S.J. Cheng: Scott, this is S.J. Company clearly made a commitment to procure Taiwan at least as a restructure and development -- developing options and like we had a lot of different approach. In order to increase further value for all its shareholders, I think right now that we tested our working with Taiwan and ROC regulators on it and we still have project on it and we’d remain optimistic and continue to build our 2013 agenda. Right now, we don’t have any solid plan and solid performance. But here we are, we keep working on that. Once we have solid result that we’ve accomplished and do the announcement.
Scott Bishins - Caffeine Holdings: Okay. One final thing, I guess, on your original presentations, you was expecting about $110 million in free cash flow for the year. It looks to me based upon the first two quarters that we might be somewhere around $120 million as far as free cash flow. Do you have any estimates or are you still sticking with $110 million?
S.J. Cheng: I think we still maintain our target and we try our best to maintain or either you see the target.
Scott Bishins - Caffeine Holdings: Okay. I mean, it definitely looks like, if we were expecting to be close to the 10% growth that we should be coming in close to $120 million in free cash flow, which would be, I mean, that would be awesome. But great job, great quarter, I guess, the important thing, I guess that investors would like to hear certainly is when you’re able to announce the buyback. We’re overall hoping to show that it would be an aggressive buyback with [developments] and certainly anything that we would buy under $20 would be very accretive to earnings immediately. So I still think that’s an important factor. I think investors certainly would like to hear something about that pretty soon. But again, great quarter, hopefully looks like business is really booming and gross margins look like they are a lot better than what you originally anticipated. So continue the great work. And by the way, thank you very much for the hospitality in Shanghai when I was at the facility. So incredible operation and I was really, really amazed by what I saw. So thanks again and S.K. thanks for the nine hours that you spent with us.
S.K. Chen: Yeah. Thank you. We’re working on that and we would let you know soon.
Scott Bishins - Caffeine Holdings: Okay.
S.K. Chen: Yeah.
Operator: (Operator Instructions) We have a next question coming from Richard Shannon from Craig-Hallum. Please state you question.
Richard Shannon - Craig-Hallum Capital Group: Hi guys. I guess, just one last remaining question from me after Scott asked about the free cash flow goals. Well, that’d be great to see those kinds of numbers, still be watching for those. My last question is just related to your previously announced emerging strategic customer AKM. How are the plans going with those guys? When should we start to see a material contribution from them and I think six months ago, you’re expecting them to be emerging as much as a 5% customer at some point in time. Is that still your general expectations?
S.J. Cheng: Yeah. Richard, I’ll try to answer your question. The AKM’s qualified expansion program will take longer than we expected. And actually, starting from October, we are starting for volume production just for assembly and testing. Regarding to the foundry work, it will still take one more quarter. So right now it’s on track but it were behind our original target around 1.5 quarter. And then it will be a significant contribute starting from Q1 next year. So that will be the new revenue growth momentum for us in year 2013.
Richard Shannon - Craig-Hallum Capital Group: Okay. May be one other last question from me. Just from a perspective of the LCD driver IC markets. Are you continuing to see potentials for increased outsourcing in this business coming both from Japan and Korea geographically. Any comments you can make as to -- how that’s evolved since the last quarter would be great to hear?
S.J. Cheng: Currently, the demand from Japan and Korea is more stronger than Q1. And we can see more and more Japanese rely on us, trying to increase more on occasions due to the high exchange rate, [relative power] limitation and right now, Taiwan has taken (inaudible) capacity wise getting more and more mature. And regarding Korea, they are on track. We are in qualified testing and processing.
Richard Shannon - Craig-Hallum Capital Group: And would those comments be very different between talking about large panel and the small panel markets?
S.J. Cheng: I’m answering for large panels, different product segments mean different size of the TV and they had a different feedback. Sales activities – applications still maintain a strong growth but some particular size of the TV is not as good as we expected before but for (inaudible) camera, PC, and smartphone so that’s what here they increased very strongly.
Richard Shannon - Craig-Hallum Capital Group: Okay. That’s great to hear. Thanks for those comments, S.J. That’s all for me.
S.J. Cheng: Okay.
Operator: Thank you. There are no further questions at this time. I will now turn the floor back to management for closing comments.
S.J. Cheng: Yeah. Thank you everyone for listening to our Q2 conference calls. The management team will try working more harder and to deliver a good progress to the market. Thank you again for joining us. Bye-Bye.
S.K. Chen: Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.